Operator: Good day and welcome to the Quarter 3 2016 Autoliv Inc. Earnings Conference Call. Today's conference will last for one hour and is being recorded. At this time, I would like to turn the conference over to Thomas Jonsson. Please go ahead.
Thomas Jonsson: Thank you very much, Lisa, and welcome everyone to our third quarter 2016 earnings presentation. Here in Stockholm, we have our Chairman, President and CEO, Jan Carlson; our Chief Financial Officer, Mats Backman; a new Head of Investor Relations, Anders Trapp; and myself, Thomas Jonsson, Group Vice President of Corporate Communications. During today's earnings call, our CEO will provide a brief overview of our overall Company performance, as well as an update on general business conditions, while our CFO will provide further commentary around the financial results and outlook. At the end of the presentation, we will remain available to respond to questions and as usual, the slide deck is available through a link on the homepage of our corporate website. As said we will limit the call to one hour including the Q&A. And if you now turn the page, there we have the Harbor statement, which is an integrated part of this presentation and includes the Q&A that follows. During the presentation, we will reference some non-U.S. GAAP measures. The reconciliations of historical non-U.S. GAAP measures to U.S. GAAP are disclosed in our quarterly press release and the 10-Q that will be filed with the SEC. With that, I will now turn the word over to our CEO, Jan Carlson.
Jan Carlson: Thank you, Thomas. By turning the page, I would first of all like to thank the entire Autoliv team for you continued dedication to quality and operational excellence. Our organic sales growth for the quarter of around 6% was in line with our guidance, while our total sales increased by close to 13% including acquisitions. Our adjusted operating margin of 8.1% was better than expected mainly due to positive net currency effects. This along with a better than expected tax rate resulted in an adjusted earnings per share of $1.63 which is close to 7% year-over-year increase. We also continued to deliver a strong adjusted return on capital employed of 18% and return on equity of 14% and returned $51 million to shareholders during the quarter through dividends. We are pleased to have signed a Letter of Intent to form a 50-50 joint venture with Volvo Cars to develop automated driving software towards autonomous driving. And lastly, during the quarter our net faith growth in the Electronic segment was 45% for the quarter which included a 12% net sales increase for Active Safety. Looking further into our active safety business by turning the page, we are now entering into a period of lower organic states growth in our active safety business as we have been communicating or some time. During the second half of this year our active safety organic states growth is negatively impacted by the phase out of our incumbent Brake Control business and a faster than expected decline intake rate on certain GPS modules. In addition to these factors, the timing of certain radar programs phasing out with new program launches and the effect of lower order intake in the past will negatively affect our active safety grow in the near-term. Based on the development of our active safety order book and the delay of certain future launches, we have been sourced over the last year, we now expect to achieve our active safety end of decade target slightly later than previously communicated. As with any growth business from time we will see sales growth fluctuations as you saw before when we exceeded our $500 million sales target one year earlier than 2014. We are confident that we have the right product portfolio, leadership and are making the right strategic decisions for the long term. Looking now to our Passive Safety business on the next page, our strong order intake in passive safety has continued now for almost two years. The ramp up of new projects within our passive safety segment has continued. This is illustrated by the 60% growth in the new engineering project initiated year-to-date through the third quarter versus the same period last year. I'm pleased that we are well on track with our hiring plan to manage the situation and have already onboarded roughly one third of the thousand engineers we expect to hire by the middle of next year. Despite this increase of engineering resources, we believe that we can contain the RD&E net within the range of 6.5% to 7% of sales in 2016 and into 2017. As we mentioned on our last earnings call, due to his continued positive development in passive safety we are increasingly more confident that we will surpass our end of decade group sales target of $12 billion. In summary, it is our combination of active and passive safety and focus on real life safety which gives us a unique position to continue to be the market leader in automotive safety. Looking now upon the next slide, we have our delivery figures for the third quarter. We had another strong quarter where we grew in line with our faster than the LVP in most product areas. China accounted for virtually 100% of the light vehicle production volume increase during the quarter. Although we have strong overall growth in China, as we have said for some time, we are underrepresented on some vehicle segments with certain local Chinese OEMs. Advanced seatbelts, side airbags and electronic control units continued to show strong growth. In addition, volumes within active safety sensors and brake control products increased despite the earlier than expected factors mentioned year-to-date earlier. Overall this performance illustrates that our investments for growth continue to pay off. Looking now into our model mix on the next slide, we have highlighted for you some of the key models that contributed to our strong organic growth during the third quarter. These models contributed significantly to our overall organic sales growth and on an annualized basis these nine modules represent around 10% of our group sales. Once again, our electronic products are on all of these models except the Prius and the Tipo. Turning the page, we have our update on China. During the third quarter, the light vehicle production in China increased by 24% year-over-year. This strong growth is mainly due to the low production level in quarter three last year and the continuation of the strong market growth since fourth quarter last year. Year-to-date we have seen the light vehicle production and light vehicle sales increase of around 11% and 13% respectively. This has resulted in an overall light vehicle inventory improvement during the quarter. We will continue to monitor the situation closely as the light vehicle production in China will likely remain volatile and difficult to forecast as it is unclear to what extent the incentives could be extended beyond 2016. Our status in China were a new third quarter record due to our strong growth. Our organic sales growth year-to-date in China of around 15% is roughly 4 percentage points more than the light vehicle production. And lastly, the China NCAP update is expected by midyear 2017 with a planned implementation commencing roughly one year later. We expect this initiative will drive an increase in safety content since the content per vehicle in China today is roughly half of the developed markets. Looking now on to the macro market conditions on the next page, the most recent IHS figures indicate an increase of light vehicle production of around 1% year-over-year for the fourth quarter mainly driven by several regions including Europe, the Americas and India. In quarter four, the light vehicle production in China is expected to decline by around 2% from the exceptionally high annual run rate of almost $28 million vehicles last year. Japan and rest of Asia show a slight year-over-year light vehicle production decline of around 1% in the fourth quarter and in Americas, both for South America and North America the light vehicle production is expected to increase by around 1% in the fourth quarter. However, the U.S. light vehicle inventory of 65 days is one of the highest ever for September while the U.S. SAAR on the last one month basis remained flat. In Europe, the overall light vehicle production is expected to continue its recovery. However, for quarter four the light vehicle production is expected to only increase by around 1%. According to the latest IHS figures for full-year 2016 global light vehicle production is now expected to grow by 2.7% year-over-year or by roughly 2.3 million vehicles. This level is 50 basis points lower than expected back in January and now includes a 7% growth rate in China and 2% for both North America and Europe as compared to 6%, 4% and 2% respectively, expected at the beginning of the year. I was now turn it over to our CFO, Mats Backman, for the financials and update to our outlook for the remainder of this year. Mats, go ahead.
Mats Backman: Thank you, Jan. looking now on our next slide, we have our key figures for the third quarter where our consolidated net sales increased by close to 13%. Strong organic sales growth in Europe and China along with acquisitions resulted in a record sales of $2.5 billion for the third quarter. Our record gross profit for the third quarter is mainly due to higher sales, lower commodity cost, favorable currency impact and acquisitions. Our adjusted EPS of $1.63 was 7% better than the same quarter last year. Despite investments of vertical integration, inflator replacement capacity and acquisitions, our adjusted return on capital employed and return on equity remains at strong levels. Looking now at our operating margin development on the next slide. Our adjusted operating margin of 8.1% was about 60 bps better than our guidance. Looking on the shot to the left, our adjusted operating margin improvement versus guidance was mainly due to favorable net currency effects. Compared to prior year, as illustrated by the shot on the right, our adjusted operating margin was about 130 basis points lower than last year. The benefit from organic sales cost, commodity costs, and currencies were more than offset by higher investments in RD&E to support our future growth and other net which primarily includes launch costs, investment for growth including vertical integration and the impact on acquisitions. Looking now to the next slide, our operating cash flow of $271 million driven by improved profitability and working capital was one of our best ever for the third quarter. Excluding any discrete items our full year 2016 operating cash flow is now estimated to be more than $800 million. CapEx of 4.8% of sales for Q3 remains lower than expected and that is mainly due to timing of expenditures. As we mentioned last quarter, we expect full year 2016 CapEx to be in the range of 5% to 6% of sales. This is partly due to increasing our inflator capacity to supply additional inflators during 2017 and 2018. During the quarter, our capacity alignment activities included a cost of $3 million and a cash outlay of $12 million. For full year 2016, we now expect our capacity alignment activity cost to be around 30 bps and a cash outlay of around $85 million with an estimated cost savings of around $30 million. Commodity cost savings during the third quarter was around $7 million and is now estimated to be about $33 million for the full year 2016. Looking now to our segment reporting on the next slide where we had summarized our segments reporting for the third quarter. In Passive Safety, organic sales growth of roughly 6% was primarily driven by strong growth in China, Europe, and India, in particular with airbags and high value added seat belts. Consequently consolidated net sales impact to safety increased by $100 million to $1.9 billion. In Passive Safety the 10% operating margin is higher than previous year, mainly as a result of lower capacity alignment costs during the quarter. In Electronics, our organic sales growth of 8% was primarily driven by recent model launches in passive electronics and Active Safety. Including the acquisition sales benefit of about $140 million from ANBS our strong growth resulted in consolidated net sales of about $600 million for the electronic segment. As we mentioned earlier, our lower growth in Active Safety is expected to continue for some time as we adapt to the timing of new programs. The operating margin of close to 1% for electronic segment was affected by costs related to the formation of the ANBS joint venture. Looking now to our guidance on the next side where we have our guidance for the fourth quarter based primarily on customer call-offs. Our organic sales are expected to be relatively flat year-on-year mainly due to the negative working days effect from the first quarter of 2016. Excluding this effect, underlying organic sales growth is around 5% due to strong growth in Europe, Japan, and rest of Asia. In addition, the ANBS acquisition is expected to add about 6% year-on-year sales growth to the quarter. Sequentially, our consolidated sales are expected to increase by about 8% mainly due to the normal seasonal effect. As a result, we expect to achieve an adjusted operating margin of more than 9% for the fourth quarter. Year-on-year the benefit from underlying organic sales and currencies are more than offset by higher RD&E and costs related to the ramp-up of capacity and new technologies for growth, and that is along with impact on acquisitions. Sequentially, the adjusted operating margin increase is mainly due to higher sales effect. Looking now upon our full year 2016 on the next slide. Our full year 2016 guidance remains unchanged from July. Our organic sales growth is expected to be around 7% and that's roughly 2.5 times better than the latest LVP according to IHS. This strong growth is primarily driven by all major regions and active safety. Our adjusted operating margin is expected to be more than 8.5%. Year-over-year the positive margin effect from organic sales, commodity costs and currencies are more than offset by the higher RD&E investment and costs related to ramp up of capacity and new technologies for growth and also the impact on acquisitions. On the next slide we have summarized our outlook which excludes cost for capacity alignment and antitrust related matters and assumes mid October exchange rates. Our consolidated sales growth for the fourth quarter is expected to be more than 5% mainly due to our acquisitions which are slightly offset by negative currency effects. For the full year 2016 guidance, our consolidated sales is expected to grow by more than 10% and that is mainly due to strong organic sales growth and acquisitions which are slightly offset by negative currency effects. Based on these sales assumptions, as mentioned earlier, we expect an adjusted operating margin of more than 9% for the fourth quarter and more than 8.5% for the full year 2016. Excluding any discrete items, we now expect a tax rate of about 28% for the full year 2016 and about 29% for the fourth quarter of 2016. Assuming our present currency mix and exchange rates we believe the positive transaction effect excluding regulation effects will be more than offset due to unfavorable translation effects on EPS for full year 2016. To summarize, these estimates indicate strong growth with an operating margin in the upper half of our long-term range. Turing the page, I will turn back to Jan before the Q&A.
Jan Carlson: Thank you, Mats. We are overall pleased with our strong growth and execution year-to-date and we are excited about the opportunities in front of us providing long term sales growth and margin improvement. This now concludes our formal part of today's call. We would now like to open it up for questions and I'll turn the call back to you Lisa. Please?
Operator: Thank you. [Operator Instructions] We will now take the first question from Chris McNally from Evercore. Please go ahead.
Chris McNally: Hi guys, thanks so much for taking the question. I guess maybe we could start on the active safety more recently to your outlook, you mentioned two things here, potentially some ramp down of business and maybe some lower order rates. The calculation we have is that maybe going forward this sort of the active safety would go to at around 10% CAGR for the next four years to 2020. Maybe just a little bit of color what's sort of driving the revision?
Jan Carlson: As we wrote a little bit in the release it is driven by a number of components actually and that is among them some later start of production than originally anticipated. We have seen a strong growth on our sensor suite and we have experienced a good order intake, but some of the programs have later start of production than originally expected. As it is with the business in the startup phases but in general also some business has not actually come our way in fact. And there is also another component here and that is the phasing of transitions from older contracting to newer contracts where there is a transition shift that is affecting the sales growth here for us, that is also contributing to these factors. And I think these overall combined, leads to a delay of our longer-term target of more than 1 billion as we've said in the Capital Markets Day.
Chris McNally: Okay great, And if we could just drill down into the different parts of active safety, are you able to just to give a little bit more color what percentage of your active safety is some of the faster growing bid such as autonomous emergency braking as opposed to you mentioned GPS which is ramping down?
Jan Carlson: Well, what we've said here is that the ramping at some of our GPS modules here and we are seeing experiencing lower take rates. And that is coming basically now earlier than expected and that is affecting the lower take rate or lower organic growth in the third quarter. We are also seeing the brake control product phasing out of the ones that we internally developed before we joined the joint venture with Nissin Kogyo. So that is something that is also affecting us. Overall we are seeing a good customer interest on our new sensors we've been seeing a good attention to the product, the core product. If you look to the order win rates that we have seen you can say that in general we have experienced we believe from the market that we can see around 20% win rate on or roughly around 20% win rate overall over the last 12 months.
Chris McNally: Okay great. And then if could just ask one more because I'm sure this will be asked a couple of times on the call, the R&D outlook, the 6.5 to 7%, how should we think about that maybe for 2017 and 2018? Do you need to pick up the R&D to sort of to make investments in some of these fast-growing areas like active safety?
Jan Carlson: We have said that the current level of 6.5% to 7% would continue into 2017. We haven’t gone beyond that for now. We will come back to that at a later stage. But we should look on that level into 2017.
Chris McNally: Okay, thanks so much.
Thomas Jonsson: Okay thank you and just a reminder that we intend to keep this call for one hour now and just to give as many people as possible a chance to ask a question, just a reminder to limit it to one question. Thank you very much.
Operator: Thank you. We will now take the next question from Brian Johnson from Barclays. Please go ahead.
Unidentified Analyst: Yes hi, good morning. This is actually Steven [indiscernible] for Brian Johnson. I just wanted to drill down a little bit further on your recent announcement with Volvo in term of autonomous driving. I guess how do you guys frame kind of the addressable market for that joint venture? I'm not sure that's kind of 2020 or 2025 timeframe, but how should we think about that market? And then also I would assume this is more so for level 2/3 ADS revenues will still be flowing through to Autoliv or is it more so level 4 or level 5 going to the new autonomous joint venture with Volvo or how should we be thinking about this split of cars, engineering resources and technologies between Autoliv's internal versus the new JV?
Jan Carlson: If you look to the market size we believe this is a fast growing market, the more the industry is moving towards autonomous drive. So I don't have any specific numbers or market size to give you as of today, but we believe that it's a fast growing market as more and more car manufacturers are looking to use autonomous drive of some level into their vehicles. To your second question around how the revenue is going to be, the company we are forming, the 50-50 joint venture has two customers. It has Volvo as one customer and Autoliv as the other customer. So whether it is the first relief that we expect to come in terms of ADA [ph] related product in 2019 it will all flow through Autoliv. So the joint venture will develop based on the combined resources and competence and Autoliv will sell the result out of the joint venture to all customers, but Volvo. And then in 2021 we expect to have the higher level, level 4 and upwards level 5 type of software ready towards autonomous drive. So that is the six-gen that we announced also here earlier this fall.
Unidentified Analyst: Okay and then just to followup on the active safety organic sales growth target now, pushed out a year, I guess this goes back to tenderness strategy change back in 2014 and I believe roughly you are talking about a car that 2018 that 24-month timeframe between contract win and launch. So it sounds like that's obviously basically two, two and a half years later almost until we see the impacts of that now. Should we expect that to further decelerate over the course next two or three, four quarters and then start to pick up or is it really going to kind of flatten out here at this type of the level then begin to accelerate going into 2017 or 2018 and beyond?
Jan Carlson: We haven’t given any color to that one. We have said we would enter into lower growth period for quite some time. We were a little bit surprised by the level of order intake now being in the high single digits rate for the third quarter at this moment due to the faster than expected ramp down or take rates. Sorry, did I say what, growth. So I think that's the one thing for the quarter on the active safety sales growth. When it comes to the future into 2017 and 2018 and so forth, we haven't given any broader color to it, but it will go into a lower level of growth now for some time and we have, as we said here indicated a delay of the longer term targets with up to one year.
Unidentified Analyst: Okay just one quick one, in terms of the internally developed MonoVision AEB product I believe that was expected to rollout in 2017, is that still on target?
Jan Carlson: That's still on target.
Unidentified Analyst: Good, okay thanks for taking my questions.
Jan Carlson: Sure.
Operator: Thank you. We will now take the next question from Dave Lim from Wells Fargo. Please go ahead.
Dave Lim: Hi, good morning everyone. Forgive me for being upfront with you, on the slower order intake earlier due to change in the vision strategy can you dimensionalize for us how your order wins have been on your vision algorithm? Are you getting what you consider your share or is that sort of falling behind your expectation?
Jan Carlson: I think we have seen a good order intake as we have commented on our vision algorithm on our new sensor suite. Hence we were able to communicate in total orderly about it after the launch. We have been able to demonstrate part of it all already before the launch but on a different level of course this wasn’t out and into production. So I think we are relatively happy with what we are seeing in terms of the order intake rate and as I said over the last 12 months we have expected to see 20% coming our way. Of course as it is with everything in a business you don't win everything of course with it, but the customer interest for our technology based on our algorithm is very high and is very appreciated. And therefore the change of the strategy is now affecting us and you see that in this growth number that we have been talking about coming down from beyond 30% level. And that is due to that we changed our strategy to go away from partnership for several reasons and then starting to develop our own algorithm and our own technology. And during that timeframe we have a limited opportunity to win business actually and that's what we have been communicative upon quite some time and you are seeing the effects of it right now.
Dave Lim: Got you. And then I guess on a followup note, you mentioned that some of the SOPs have been pushed out. I mean, is there any particular reason, is it technical, is it more market-driven? That would be very helpful if you could add some color there, thank you.
Jan Carlson: Absolutely. It's no technical reasons. It's no reasons coming from Autoliv or capabilities or performance reasons. This is how it is with car programs. Some car programs are changing and quite often they are delayed if they are changing. They are not that often being brought up to launch earlier. But that can happen too in some cases, but in this case it has been decided by customers to go out on the market later.
Dave Lim: Got you. Thank you so much.
Jan Carlson: Thank you.
Operator: Thank you. We will now take the next question from Erik Karlsson from Bodenholm Capital. Please go ahead.
Erik Karlsson: Thanks for taking my question. You say the reason for lower margins in the group is primarily due to investments in growth, very understandable given your strong order intake over the last couple of years. But given your use of word in there you do add the word primarily which may suggest there are other reasons as well for the lower margins. Could you help us understand what those are or whether the reason for the lower margin is largely the investments in growth or if there are other things we should be mindful of as well? Thank you.
Jan Carlson: Thank you. If you are looking at the bridge I provided, I think is on slide page 11 there you have the RD&E in that on a separate note and then you have a rather big kind of other net being including in that one. And then what's included in that is about one third of that one is related to acquisition effects and higher depreciation and amortization and about two third is related to investment for growth and that's mainly including structural production cost to ramp up and needs higher volumes ongoing forward. And if you are looking into the guidance and are looking into the fourth quarter, I mean if you compare the guidance without kind of fourth quarter last year you have a difference of about 200 bps. And if you are pleading that 200 it was at approximately 150 is related to acquisition effect together with RD&E. So that year-on-year is a little bit smaller impact from the other kind of structural production related costs.
Erik Karlsson: Thank you very much.
Operator: Thank you. We will now take the next question from Joseph Spak from RBC Capital Markets. Please go ahead.
Joseph Spak: Thanks and good afternoon everyone.
Thomas Jonsson: Thank you.
Joseph Spak: First question I just wanted to touch on the replacement insulators. I guess the first thing would be a serious announcement the other day to recall additional 528 [ph] do you think that was already considered in your prior estimate of the market opportunity? And then I noticed you said in Japan that there was some, I guess it seemed like a negative impact from lower sales from replacement inflators. I just wanted to clarify, is that on a year-over-year basis indicating you are already running into some tougher comparables or was that versus your initial expectations of spend?
Jan Carlson: The last part it’s a year-over-year effect that’s clear. On the first part this 5.8 is always difficult to really pinpoint each announced recall. But normally you would say that the car maker secured some level of supply before they go out. So normally that's how it looked and has been looking here that car makers are having a plan for supply and it is difficult for us to say that this is totally included or it is coming to us or is that we don’t really know all of this at the moment. It has not affected our level. It is still up to 30 million units to be supplied up and including 2018. So that's where we are and it's the estimate that we have.
Joseph Spak: Okay, thanks, that’s helpful. The second question is just so the lowest quarterly organic growth guidance of the year, I know you've explained that away by the days issue, I guess I wanted to see if you also thought there was a, you incorporated some of the production commentary from Ford who I know is an important customer for you. But I guess the real underlying question is despite it being the lowest organic growth guide of the year, it is like you are actually starting with your highest quarterly operating margin guidance and there's usually a connection between the two. So could you just remind us of what's driving some of that performance in the fourth quarter?
Jan Carlson: I mean sequentially even though we are kind of guiding for flat organic growth or +5% considering the calendar year effect, I mean we have a sequential effect from higher volumes going into the fourth quarter. So I think the main explanation is really leverage on additional volumes if you are looking on sequentially. Then may be just to, even though for the quarter we may even guide on our own callers, but if you at the HIS number I mean the fourth quarter growth is I think only 0.7% in the latest report. So of course versus that production number of those are worth noting I think.
Joseph Spak: Okay, thank you guys.
Jan Carlson: Thank you.
Operator: Thank you. We will now take the next question from Jairam Nathan from Daiwa. Please go ahead.
Jairam Nathan: Hello?
Thomas Jonsson: Hello? Jairam?
Jairam Nathan: Yes, thanks for taking my question. I just, you know so based on your comment about active safety kind of slowing down and passive safety actually, and at the same time your 12 billion target by 2020 going up, so it looks like the mix is shifting from active to passive. And I just wanted to understand how would that impact margins over that timeframe?
Jan Carlson: Well, we haven’t discussed margins. We set out some margin targets at the Capital Markets Day and we will discuss the long term margin development at our next Capital Markets Day and you know we have a tradition to have a Capital Markets Day every second year. And so we will have to come back to that one. The margin development is overall very much in our case related to the growth rate and how fast we are growing and how fast we take onboard new business and how much we spend in R&D for both active and passive safety and technology developments that also in other type of investments and infrastructure for growth. So it is very much related to how long the strong order intake we have seen in passive safety now for quite some time will last.
Jairam Nathan: But wouldn’t the shift actually help margins given that active safety margins are much lower right now?
Jan Carlson: Well, the thing is that we are also onboarding quite a bit of engineering capacity and other related resources to grow also our passive safety business. We talked about more than 50% order intake for last year 2015. We have all along this year commented around a very strong growth rate continuing into 2016. So as you can see from this segment differences on the margins of course there is a difference in passive and active safety, but we aren’t discussing that margin outlook here and as of now, but we will probably come back and talk about the development in our upcoming Capital Market Day.
Jairam Nathan: Okay, and my next question was regarding Takata. My question is not about who is going to buy them and stuff like that, but my question is longer-term what do you see replacement, you are adding capacity, I'm sure other's are adding capacity, but how do you see that replacement inflator capacity impacting pricing over the long-term?
Jan Carlson: For the time being we have not seen any difference in pricing pressure, et cetera and it remains to be seen, we have been talking about pricing in general in this industry between 2% and 4% for many, many years and we are still seeing the same range for the pricing integration. When it comes to the order intake and we have seen generally, of course the capacity we have invested in for inflator placements as such this could also now be utilized for a more normal order intake that we are seeing in the passive safety area. So it remains to be seen also what will be the effect out of Takata and how the business Takata have had over some time will be distributed and what will happen to Takata. But so far we are not worried about the utilization and the capacity.
Jairam Nathan: Okay, thank you, that's all I had.
Operator: Thank you. We will now take the next question from David Leiker from Baird. Please go ahead.
David Leiker: Good afternoon.
Thomas Jonsson: Hi, good morning Dave.
Jan Carlson: Hello.
David Leiker: I guess, two things here in I just wanted to touch on quickly. If we look at the GPS modules and the brake controller, I mean it sounds like both of those are somewhat unexpected events in terms of those rolling off. I guess my question is why?
Jan Carlson: Well, it wasn’t unexpected that it would roll down. We talked about that you remember when we acquired the M/A-COM business that the GPS modules will phase out. What we are seeing is a somewhat deeper take rate decline then what we have expected originality on the GPS module. On the brake control side, this is related to the brake control. We developed inside Autoliv that led into the contact with Nissin Kogyo because we did not have hydraulic control units so we needed to add some confidence there and that technology now is phasing out also there somewhat earlier than what originally expected. So we have seen this coming and that has been a part of also our plans, but it is coming a little bit deeper than expected.
David Leiker: Okay and then the second one here is if you look at instead your win rate right now is 20%, can you give us some characterizations of the type of products that you're winning on, high-level thoughts in terms of where you are winning?
Jan Carlson: High-level thoughts are very much related to the technology we have developed over the last three years or so, basically leading up to the launch that we had on E Class and also the next generation based on this and the further development with that technology as the basis. So it is very much related to that. In all cases we have not had all technology as in all orders so that has been a blend of some parts of it and some parts of the components not being included. So essentially it is very much related to the core products that we have there.
David Leiker: Then those are launches in the 2019 time period or sooner than that?
Jan Carlson: Type, 2019 type timeframe and then the ramping up during second half of 2019 and also into 2020. And these programs as we alluded to here in the beginning in the presentation, when targets were set et cetera some of these orders we have taken now and accounted for also was maybe then planned to have an earlier launch.
David Leiker: Okay, thank you very much.
Jan Carlson: Thank you.
Operator: Thank you. We will now take the next question from Victoria Greer from Morgan Stanley. Please go ahead.
Victoria Greer: Good afternoon. Just one please from me on the balance sheet it has been pretty strong in the quarter and then looks to me anyway is it will be below your net debt to EBITDA your guidance range by the end of the year, is there anything you can share about your thoughts on that, you know should we be thinking is that potential for further share buyback?
Jan Carlson: I mean that, looking on the gearing ratio as such, I mean you are right. So we are on 0.5 and that is in the lower end of the range between 0.5 and 1.5 with a target of 1 that we have communicated. So we are on the bottom of our communicated range. But we believe this gives the financial flexibility to grow the company and to be prepared for of course also I associated with ongoing antitrust matter because I mean you need to remember that one being out there as well. And we also believe this is kind of prudent given the current macroeconomic uncertainty. So we feel pretty comfortable with the balance sheet and we're growing so all the gearing ratio. And I mean we are normally not kind of giving any comments when it comes to buybacks.
Victoria Greer: Great, thank you.
Operator: Thank you. We will now take the next question from Hampus Engellau from Handelsbanken. Please go ahead.
Hampus Engellau: Thanks very much. I have three questions, starting off with active safety and your vision systems. The 20% market share is that on stereo, and mono vision could you maybe talk on who you are seeing competition on stereo vision? Second question is on the delays in production start and also I'm wondering and my question is more on is there a step back among the OEMs on the back of the test [indiscernible] to test these systems more or could you maybe discuss that a little bit? Last question is on your passive safety, if you could remind us, you wondering take has been on high levels for almost two years now, when do we see these starting to come through in your invoicing? So those are my few questions, thanks.
Jan Carlson: Okay, if we start with the stereo vision and the competition items, you know it is there is no new competition. It is the expected ones that you are seeing and some of our competitors do stereo vision as you know, some of them limit themselves to mono vision or trifocal cameras et cetera and it is the usual competition that we are meeting out there. When you look through the general order intake level of around 20% it is also valid for the vision part of our components. If you dive into that as a part of the order intake it's also the same number. If you look to the delay and the validation of it that is of course an increased discussion in the industry about how to validate the product. But it's equally much also discussion around the robustness of technology and how extruded for rely safety and the need to have a product that is complying with not only the test specification, but with all the conditions that the vehicle might experience out there. And this could also lead to longer lead times on orders and we have seen that in some case also that orders that we thought would come and be awarded has been pushed out and so that has been this case and that's ongoing. But it's individual from OEM to OEM. Passive safety and order intake, this is happening even normal lead time if there may be between 18 and 36 months depending on if it's a complete new platform or if it is a crash program where we are replacing another competitor, or whether it is just a facelift of some kind. So it varies, but you could say between 18 and 36 months depending on the type of program from order to star of the invoicing.
Hampus Engellau: Can I have one additional question on that and with these wins on airbags, has there been existing platforms like in the mid low left cars life cycle or is it just coming contracts?
Jan Carlson: It is a blend of it all. It is also a facelift then it is other type of replacement as well that we have won. So it's both, new programs as it is normally and then also other type of wins here.
Hampus Engellau: And is the difference in profitability are you already getting compensated for not having as a long lifetime on this cycle?
Jan Carlson: You factor in of course two links and depreciation on two links, et cetera, the lifetime of the actual program. So from that point of view you have a much shorter depreciation time which also affects prices overall. So of course it is connected to the reality of that specific program.
Hampus Engellau: Okay, thank you.
Thomas Jonsson: Just a reminder. We have slightly less than 10 minutes left and I think we'll be able to fit the questions in if you limit to one question. Thank you.
Operator: Thank you. We will now take the next question from Erik Golrang from Nordea. Please go ahead.
Erik Golrang: Thank you. Okay one question, then I have a question on the chart you show on number of engineering projects and I think it is tied to five in the presentation but you are 60% up here today. How should we read that I mean and I guess engineering product is triggered by an order but what's the transition from an order to sales and how to ascribe the base data? I mean what kind of effect?
Jan Carlson: No, but I think that as I gave to Hampus, yes today in the previous question it is between 18 and 36 months. A product is a product no matter what type of car platform it is. And you can clearly see the effect in reality of number of started projects based on the order intake. And each product is a product it is an airbag product, the seatbelt product, it is what it is and we haven’t distinguished that in this debate. But generally 18 to 36 months.
Erik Golrang: Thank you.
Operator: Thank you. We will now take the next question from Bjorn Enarson from Danske Bank. Please go ahead.
Bjorn Enarson: Yes, thank you. One question on your JV with Volvo Cars and if you can give some color on what kind of constant that you are addressing with this JV or when you can be ready to have the touch on the potential financial impact from that JV? Thank you.
Jan Carlson: We will come back to that. The company has not yet started. We have signed a Letter of Intent to form this joint venture. So we are just now about to form this and we expect it to go live in early 2017. And the type of – it is a software related company related to the higher level vehicle feature software, where Autoliv will continue to deride software and develop hardware on the component side. So components related to the system of the car like radars, cameras, ADAS controllers et cetera will continue to be developed by Autoliv whereas he vehicle level feature software will be within the scope of joint venture.
Bjorn Enarson: Thank you.
Operator: Thank you. We will now take the next question from Agnieszka Vilela from Carnegie. Please go ahead.
Agnieszka Vilela: Hi I have a question on the active safety outlook. Do you still expect that the underlying market of active safety is drawing less than 20% and then it basically would imply that you are losing market share. And my question also is on the R&D spend for that segment specifically, do you think that you should than lower your spend and also do you believe that some of the development costs for the ADAS will end up in the JV and not in Autoliv? Thank you.
Jan Carlson: If you take the market share for some time right now with the lower organic growth that we are seeing here you can say that we are not losing market share but we are losing feed to the markets because we have this situation where the strategy change and the ramp translation of contracts, distant contracts et cetera, we are confident that over time we have the right strategic position not at least through the initiatives where the joint venture and the brake control system together with Volvo Cars and together with initiatives that we have ongoing that we will be back and keep off with the end market developments. But for a short period of time or shorter period of time here we will enter into lower growth, organic growth rates. On the rand side, on the spending on the rand side we believe that there is related differently to the passive safety, it is quick technology development and it has different type of demand from technology developments in the product area in the active safety then it has been safety areas. But you are seeing also here, very much related the levels to the level of order intake and that will be also the case for the future.
Agnieszka Vilela: But then just to clarify, don’t you think that some of your R&D needs will migrate, so to say to the JV when it comes through ADAS?
Jan Carlson: This time it may migrate to the joint ventures. When you look to some of the features being developed inside their joint venture and that is now taken out from the Autoliv side. So some of it may come in for that and that is also one of the reasons to share the cost and to share the burden of this software between ourselves and with Volvo. But when you look to the development of technologies to overall not the lease also from the component level side, there will be a continued development we're talking today about radar and vision and data controller as core product, but down the road you will see also other products like Lidar [ph] and connectivity et cetera. So there will be a continued demand, but we will monitor this and also discuss this later on, on our strategy for component development and technology development.
Agnieszka Vilela: And you also postponed the EBITDARs and targets for electronics then, is that right?
Jan Carlson: We haven’t discussed the EBIT margin target, they have of today. Today, we have now communicated the growth rate situations and we have said we are delaying our longer end of decade target with up to one year now and we will come back and discuss that when we have another capital market day.
Agnieszka Vilela: Okay, thank you.
Jan Carlson: Thank you.
Operator: Thank you. We will now take the next question from Kai Mueller from Bank of America Merrill Lynch. Please go ahead.
Kai Alexander Mueller: Thank you very much for taking my question. Just a quick one, 3D benefits that this year so far from raw materials and currency that somewhat offset your R&D expenditure. If we look sort of into next year, I guess that's sort of paves the way, but the R&D will stay. It is not a fair assumption that you are making?
Jan Carlson: I mean we're not guiding into the next year. But if you adjust looking on the, we have this whole year 2016 guidance of $33 million and I mean and that's actually lower than the guidance we had when we went into this year. So, it all depends on the kind of development on raw material cost. And when it comes to the currencies, I mean it's very difficult to make any kind of guesses on that. But what we've seen on roman peers and what we have seen throughout the year, the positive effect will be lower.
Kai Alexander Mueller: Maybe just a followup on that one, is it a fair assumption that throughout the year we've seen a reversal of that that could actually turn into a headwind into next year?
Jan Carlson: I mean it is too early to say, but if you're just looking on the fourth quarter, if I take it at quarter, by quarter the 33 million for the full year guidance that indicates basically flat to slightly positive raw material effects in the fourth quarter to be compared to the 7 million we had in the third quarter, so that sows a little bit of sequential development within.
Kai Alexander Mueller: Okay, thank you very much.
Operator: Thank you. There are no further questions.
Jan Carlson: Okay, I then would first of all like to have some concluding comments and I would like to take this opportunity to thank you Thomas for doing a great job heading out the investor relations team here totally for the last three years. Thomas Jonsson here will continue as Group Vice President of Corporate Communication inside Autoliv and focus on that one. At the same time, I would also like to thank Anders Trapp here for all the difficult and interesting questions following us as an analyst for many, many years. And now I would like to welcome you on this side instead of the table to Autoliv. Regarding upcoming investor relation activities in 2017 I would also like to mention as we have been alluding to a little bit here on the call that we will be hosting investor and meetings throughout the year starting with the analyst meeting in PEF [ph] on January 4 and 6. We also intend to host a Capital Markets Day during the second half of 2017 and that will – as it looks today most likely be around the Frankfurt Auto Show. And of course lastly, our next earnings call for the fourth quarter and year end 2016 will be held on Thursday, February 2, 2017 and please follow our corporate website for more information and details on this one. Now remains only to say thank you to everyone here for participating on today's call and we sincerely appreciate your continued interest in Autoliv and we hope that you all will have a safe and relaxing upcoming holiday season and goodbye for now. Thank you.
Operator: That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.